Operator: Greetings and welcome to the Brightcove First Quarter 2022 Earnings Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions] As a reminder, this conference is being recorded.  It is now my pleasure to introduce your host Brian Denyeau, Investor Relations for Brightcove. Thank you. You may begin.
Brian Denyeau: Good afternoon, and welcome to Brightcove's first quarter 2022 earnings call. Today, we will discuss the results announced in our press release issued after the market closed. With me on the call are Marc DeBevoise, Brightcove's Chief Executive Officer; and Rob Noreck, Brightcove's Chief Financial Officer. During the call, we will make statements related to our business that may be considered forward-looking and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements concerning our financial guidance for the second fiscal quarter of 2022 and the full year 2022, expected profitability and positive free cash flow, our position to execute on our go-to-market and growth strategy, our ability to expand our leadership position, our ability to maintain and up-sell existing customers as well as our ability to acquire new customers. Forward-looking statements may often be identified with the words such as we expect, we anticipate, upcoming or similar indications of future expectations. These statements reflect our views only as of today and should not be reflected upon as representing our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations, including the effect of the macroeconomic conditions currently affecting the global economy. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained in our most recently filed annual report on Form 10-K and as updated by our other SEC filings. Also during the course of today's call, we will refer to certain non-GAAP financial measures. There is a reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after market close today, which can be found on our website at www.brightcove.com.  With that, let me turn the call over to Marc.
Marc DeBevoise: Thanks, Brian, and thank you all for joining today. I am delighted to be here hosting my first earnings call with Brightcove. I am going to spend the first part of my time with you today introducing myself and sharing why I'm so excited to be leading Brightcove at this moment in our industry's evolution. I'll also give you an overview of our Q1 performance, including execution highlights before handing it over to Rob, to go through the detailed financial results. So this is my fifth week on the job, the 30th calendar day, actually. I've spent my first month here diving in and getting to better know our customers, products and our team. Frankly, I did a lot of diligence prior to taking this role and a lot I plan to go much deeper in the coming weeks. I already have a strong understanding of where we are. With my deeper learning and listening process underway, we are developing a plan with a clearly defined vision and strategy for the future. One that will continue to see Brightcove delivered tremendous value to its customers and enable us to generate meaningful growth. I look forward to sharing this plan with investors during the third quarter. For today, we'll simply say that I'm even more excited and optimistic about the long-term future of Brightcove than I was when I accepted this job back in February and I'd like to talk a little bit about why. I am inspired by technologies power to change industries and businesses. I spent over 20 years at the intersection of technology, media, direct-to-consumer and streaming. I helped finance and drive value for numerous digital media and software companies as a technology investment banker during the Web 1.0 era. As we moved towards Web 2.0, I helped to launch some of the earliest digital and streaming teams at NBCUniversal and Starz. Starz is actually my introduction to Brightcove as an early customer, prior to 2010. Brightcove helped me do what it still does for many customers, build a high growth, direct-to-consumer streaming business quickly at scale and without requiring massive internal resources and Starz in this case building a multi-million dollar digital business from effectively nothing. More recently, as we move from Web 2.0 to 3.0, I served as the Chief Digital Officer of ViacomCBS and CEO and President of CBS Interactive. In these roles, I led the company's unified streaming, digital and technology operations globally. I was responsible for the company's direct-to-consumer streaming services, many of which I led the founding of, including Paramount+, CBS All Access, CBSN and CBS Sports HQ. It was an incredible nearly 10-year journey where I led a tremendous team responsible for transforming CBS and CBSI through the mobile and social and streaming revolution, for growing the digital businesses from a few hundred million in revenue to multiple billions, exceeding a 50% year-over-year growth rate for numerous years, for driving an overwhelmingly desktop-based business to a diversified mix of connected TV, mobile and web traffic and diversifying it from a majority advertising business to a balanced subscription and advertising revenue generator. Ultimately, we transformed the legacy broadcaster into a leading streaming and content company. I have led teams that developed some of the largest global streaming services and digital businesses, produced major television shows and films, marketed these using small and large budgets and created meaningful strategic partnerships across the technology and video distribution ecosystem. I've also managed transformations and most importantly, built and developed great teams to achieve real growth driven by delivering exceptional customer value. I intend to do the same here at Brightcove. These experiences have shaped my point of view on the future of the industry as well. I firmly believe we are still in the early days of the streaming and connected device revolution. Still early in empowering everyone from enterprises to marketers to content creators and producers to generate and distribute video content on their own terms. We're especially early in companies and brands, including those outside the media business owning and operating their own media channel. I believe all companies will need to distribute video to connect with their audiences and customers because there is no more powerful medium than video to tell their story and deliver their messages. We believe this is a huge and growing market with video generating over three quarters of the world's Internet traffic today, and it's not slowing down. Brightcove has a long history of being a leader in video technology and pushing the industry forward. We streamed over 51 billion minutes or 860 million hours in the first quarter of 2022. That's incredible. It's massive, bigger than many of the major media companies. We have a platform that can scale to handle almost any streaming volume and do it in the most secure way and we're proving that every day. Before taking this role, I did a deep dive into Brightcove's products, performance and customers, and I know that we have some of the most advanced technology on the market. This puts us in a great position, especially when it's combined with our thousands of global customers, hundreds of the most talented people in the industry, 90-plus patents and numerous industry recognitions and awards. Put simply, I joined Brightcove because of where we have been, who we are and the opportunity in front of us. We are at a true inflection point for the industry and this company. The world has transformed. Almost every entertainment and information stores has moved to streaming. Streaming is the future and it's not just for media organizations, but other enterprises too. We live in a world where people now expect video in all aspects of their journey as consumers and employees. Every organization now needs to think and act like a media company. And when I say every organization, I mean it. All companies will use video to monetize, sell products and services and engage with their audiences. These trends provide Brightcove with an incredible opportunity. The proven power of our platform and history of delivering massive amounts of video reliably and securely for a broad array of enterprises gives us great insight. My focus in the months ahead is to ensure that Brightcove is completely aligned from a product and solutions, go-to-market and talent perspective, so that we can become one of the primary winners in the streaming market. I am very confident Brightcove can become a much larger, faster growing and profitable business in the years ahead. I'm thrilled to be leading this great team, and I am excited for its future. So hopefully that gives you a sense of who I am, my background, why I chose to join Brightcove and where I believe we will take it. With that, let's shift gears to Q1. Revenue was $53.4 million, above the high-end of our guidance of $51.5 million. Adjusted EBITDA was $5.1 million, also ahead of the high-end of our guidance. We had a solid first quarter. I thank the team for keeping their eye on the ball and exceeding expectations during the time of real transition. That said our current financial performance is not indicative of the long-term potential I see for this business. My priority as CEO is returning this company to meaningful growth. And I absolutely believe Brightcove has the capacity and the capability to do so. With that, I'd like to share some additional highlights from the quarter. As I mentioned earlier, one of the reasons I joined this is our incredible customer base. We serve a broad range of companies from leading global media companies to digital publishers to broadcasters to leading sports and event distributors to major enterprises in numerous verticals. To give you some context for just how impressive our customer base is, and forgive me that due to certain customer agreements, we're not always able to give specific names. Brightcove powers video for more than 25% of the companies in the Fortune 1000. Three of the top 10 automotive brands worldwide, two of the top five luxury retail brands by revenue, one of the top e-commerce and video platforms in Asia Pacific, a leading venture-backed edutainment platform, one of the largest home improvement retailers. And we powered one of the largest live stream concerts reaching over a million concurrent viewers. And for the past two years, Brightcove has helped customers stream some of the largest sporting events from Japan and China that showcase amazing athletes from around the world and major golf tournaments in the U.S. as well. What you also see from this list is we have plenty of room to grow. So let’s cover some customers I can talk about. I’m delighted with this highlight mix of new business and expansion wins and wins from fantastic brands from around the world in Q1. After a successful pure virtual event in 2021, we helped South by Southwest delivered its hybrid experience in 2022, enabling it to deliver their content to expanded audiences across numerous device platforms including Apple TV, Android TV, Fire TV, iOS, and Roku. Yamaha Music Japan moved to Brightcove to provide viewers an exceptional experience after dealing with security and content playback issues from the streaming service they used previously. Supplier of energy efficient technology, Danfoss is now leveraging Brightcove to streamline workflows, access actionable viewer insights and reach new geographical markets. Marketing software provider HubSpot needed a reliable, scalable and secure platform to deliver its global hybrid event series to attendees worldwide and they turned to Brightcove as well. And longtime customer SKY Network Television in New Zealand will continue to leverage Brightcove to reach and engage its audiences while having the confidence of scale as its viewer base grows with our latest privacy and security solutions in place. One of the other highlights in my first few weeks has definitely been seeing us leveraging our own technology in how we operate. I’m proud to highlight that PLAY TV by Brightcove was named a 2022 Webby Honoree in the Apps and Software category for best OTT service. Thank you to the International Academy of Digital Arts and Sciences for this recognition and to the team behind us at Brightcove. Being recognized as a Webby Honoree by this judging body composed of over 2,000 industry experts and tech innovators and among the likes of Disney plus, Sling, Apple TV plus, and ITV in this category is a significant achievement for PLAY TV. And it’s also an achievement for Brightcove Corp TV, which is the technology solution powering PLAY TV. I’m excited to add this to the two Emmys we won last year. Before I hand it off to Rob, I want to reiterate how excited I am to be leading this company. A true leader in streaming video in its broadest application, especially at this exciting juncture in our industry. There is no better time to be a distributed decentralized video platform, especially for companies, brands, creators and individuals looking to capture their own streaming futures. With that, I’ll turn it over to Rob now to walk you through the numbers and I’ll be back for the Q&A. Thank you.
Rob Noreck: Thank you, Marc, and good afternoon, everyone. I will begin with a detailed review of our first quarter, and then I’ll finish with our outlook for the second quarter and the full year 2022. Total revenue in the first quarter was $53.4 million, which was above our guidance range. Breaking revenue down further, subscription and support revenue was $51.6 million and professional services revenue was $1.8 million. 12-month backlog, which we define as the aggregate amount of committed subscription revenue related to future performance obligations in the next 12 months, was $128.7 million. This represents a 10% year-over-year increase. On a geographic basis, we generated 55% of our revenue in North America during the quarter and 45% internationally. Breaking down international revenue, a little more Europe generated 17% of our revenue and Japan and Asia Pacific generated 28% of the revenue during the quarter. Let me now turn to the supplemental metrics we share on a quarterly basis. Recurring dollar retention rate in the fourth quarter was 91%, which is within our target range of low to mid 90s. Based on investor feedback, we’ll continue to provide this metric until further notice. Net revenue retention in the quarter was 98%, which compares to 93% in the fourth quarter of 2021 and 99% in the first quarter of 2021, since the beginning of 2019 net revenue retention has ranged from 92% to 100%. We expect that as we continue to make improvements in our renewals business, this metric will consistently be over 100% over time. Our customer count at the end of the first quarter was 3,131 of which 2,299 were classified as premium customers. Looking at our ARPU within our premium customer base, our annualized revenue per premium customer was $96,500 and excludes our entry level pricing for starter customers, which averaged $4,600 in annualized revenue. Our ARPU was down year-over-year due to the impact of onetime events in Japan last Q1. Excluding these events, our first quarter 2021 ARPU was $93,500, and we’re up 3% year-over-year. Looking at our results on a GAAP basis. Our gross profit was $34.4 million, operating loss was $2 million and net loss per share was $0.04 for the quarter. Turning to our non-GAAP results. Our non-GAAP gross profit in the first quarter was $35 million, compared to $36.2 million in the year ago period, and represented a gross margin of 66%, consistent with the first quarter of 2021. Subscription and support revenue represented approximately 97% of our total revenue and generated a 68% gross margin in the quarter compared to a 70% gross margin in the first quarter of 2021. Non-GAAP income from operations was $3.8 million in the first quarter compared to $7.2 million in the first quarter of 2021. Adjusted EBITDA was $5.1 million in the first quarter compared to $8.6 million in the year ago period and above the high end of our guidance range. Adjusted EBITDA margin was 10% in the quarter. Non-GAAP diluted net income per share was $0.10 based on 41.9 million weighted average shares outstanding. This compares to net income per share of $0.15 on 42.5 million weighted average shares outstanding in the year ago period. Turning to the balance sheet and cash flow. We ended the quarter with cash and cash equivalents of $26.7 million. We used $690,000 in cash flow from operations and free cash flow was a negative $5.5 million after taking into account of $4.8 million in capital expenditures and capitalized internal use software. I would like to finish by providing our guidance for the second quarter and full year 2022. For the second quarter, we are targeting revenue of $51.5 million to $52.5 million, including $2 million of overages and approximately $1.7 million of professional services revenue. From a profitability perspective, we are expecting non-GAAP operating income to be $2 million to $3 million and adjusted to EBITDA to be between $3.7 million and $4.7 million. Non-GAAP net income per share is expected to be in the range of $0.04 to $0.06 based on 42.3 million weighted average shares outstanding. For the full year, we are targeting revenue of $210 million to $215 million, including $8.4 million of overages and approximately $7.7 million of professional services revenue. From a profitability perspective, we expect non-GAAP operating income of $9 million to $13 million and adjusted EBITDA to be between $17 million and $21 million. Non-GAAP net income per share is expected to be in the range of $0.20 to $0.29 based on 42.4 million weighted average shares outstanding. For the full year, we are now targeting free cash flow of $5 million to $10 million. There are a couple of things to keep in mind about our guidance. First, the strength of our subscription sales in the first quarter has increased our expectations for subscription revenue for the year by approximately $3 million. We now expect subscription revenue growth of 3% for the year at the midpoint of our guidance up from 1%. This enabled us to raise the midpoint of our revenue guidance range, despite notable movements in foreign exchange rates. Most notably the Japanese yen that represent $600,000 and a $1.8 million revenue headwind in Q2 and the full year respectively. Also our updated professional services revenue outlook of $7.7 million is $1.6 million below our prior outlook due to a higher proportion of bookings coming from our subscription business in the first quarter. And finally, as Marc mentioned in his comments, we are working on our long-term strategic plans. We’ll share any impact of this process on 2022, when we share our long-term plans with you in Q3. To wrap up, Brightcove delivered solid first quarter results that show the value our solutions provided to customers every day. We are making progress on our strategic goals that over time we can deliver a consistent blend of revenue growth and meaningful margin expansion that can generate substantial value for shareholders. With that, we’ll now take your questions. Operator, we are ready to begin Q&A.
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Eric Martinuzzi with Lake Street Capital. Please proceed with your question.
Eric Martinuzzi: Thanks and welcome, Marc. Definitely good to hear your voice on the call and looking forward to your full-fledged strategic plan. In advance of that, I do want to kind of focus on the sort of what's on the table type question. There is a number of different avenues that a person can go – go down when they're coming aboard as what I would characterize as a turnaround situation. And I'm just curious to know as far as the things that Brightcove does now versus the things that you'll be talking about six months from now. Are the current operations – is this – is the strategy really going to be more about refining current operations or are strategic areas of focus divestitures, M&A? Is it all on the table?
Marc DeBevoise: Well, thanks, Eric. It's great to meet you as well and talk to you on the call. I would say, first and foremost, I joined the company because of the strength of the existing technology, the incredible customer base, frankly, the incredible and talented employee base and then especially my view on where this market is evolving towards. And that is towards incredible growth continuing in the streaming market more broadly. And I think in that market, as both media and enterprise customers as Brightcove would define them today. And so I see the opportunity is pretty broad based. And that leads me down the path of, as you said, sort of leaving things on the table rather than taking things off the table. And I'm very optimistic about where both of those, let's call them, end user markets are headed. And I think there's just a tremendous opportunity in how streaming is going to continue to permeate in our society more generally. And I think that growth is what we're going to go figure out how to capture more of and capture more of it quickly. And so, the last one I'll say is that the strategy will really dictate the tactics. So you say M&A, is it on the table, left table, it really depends on where we end up with that strategic outlook and where are the places we are going to focus and spend our time and energy towards going. And I think that will make all the difference in how we lay out the tactics to achieve that strategy.
Eric Martinuzzi: Okay. And I realize you're only 30 days on the job here, but have you had a chance to meet with a significant number of customers? And what are your observations if you have had a chance to meet with any of them?
Marc DeBevoise: Yes. I met with a few. I wish it was more, but I think we're gaining more day by day. And again, it's 30 total days, not even 30 business days. So we've got to give the customers a chance to come find me, too. So that's great so far. I would say the response I've gotten from the customers I talked to have been incredibly strong. I mean many of our customers absolutely love the product and what we do for them and the efficiency with which we enable them to achieve their goals and the broad based types of customers we approach, I think, is really great. I mean having thousands of customers in all these end markets really does give us unique insight into the market and how it can grow. So I'm very excited to meet more of them and more of them on a global basis, given that global reach that we have as well.
Eric Martinuzzi: Okay. And then just your direct reports, are you going to be adding some – any significant members to the team?
Marc DeBevoise: Well, I'd say it's still early. I have been really impressed with the talent of the company. I think there are – we are hiring across the board. I'd say there are areas where we're trying to add more talent in across the company at this point. And so, I'm not purely focused on my direct, but really more of the company in total. And where we need to take it in and again I think the strategy will dictate the types of roles we may need to change or add to the team over time. So I sort of give us a little bit more time on that as we come through. But again, I've been really impressed with the talent. And I think combining that was my point of view on the market and where I think it can go, I think we're going to come out with some things that will get you really excited about the company, if you aren't already.
Eric Martinuzzi: Okay. And then the – I guess this is more for Rob. The cash usage in the quarter seemed to be a little bit higher than I was expecting. I understand you had the acquisition of Wicket Labs in February. But is there anything you could point out in that $5.5 million burn as maybe one time?
Rob Noreck: Yes. So you had the – you obviously had the acquisition of Wicket in February, which was $13.2 million of cash that went out the door. And then in the $5.5 million, another thing that we had going on was we are building out a new office. So that is cash that went out the door in Q1 that we expect to recover from the landlord in Q2 with reimbursements and that's about another $2 million of that. Other than that, Q1 is typically a cash burn quarter. When we look at things like annual bonuses getting paid out, full year commissions getting paid out, we do have some pretty significant prepayments to some of our vendors that happened in the first quarter. So it typically tends to be a lower cash flow quarter anyway. And just to reiterate, we do expect to see a $5 million to $10 million free cash flow for the year, which is what we guided in the first quarter as well.
Eric Martinuzzi: Okay. Right. And then if I look at the cost structure, I understand we only had kind of two months of Wicket in Q1, but what can we expect for OpEx for Q2?
Rob Noreck: Yes. Overall, OpEx in Q2, as Marc said, we’re making investments in headcount across the organization and looking to fill roles across the yard. So it’s not going to be material movements, but it will be picking up as the year goes on.
Eric Martinuzzi: Okay. All right. Well, thanks for taking my question. And good luck, Marc.
Marc DeBevoise: Thank you. Appreciate that.
Operator: Our next question comes from the line of Mike Latimore with Northland Capital Markets. Please proceed with your question.
Mike Latimore: Great. Thank you. Yes. Nice to meet you, Marc.
Marc DeBevoise: You too, Mike.
Mike Latimore: So your background is a little bit more on the media side than enterprise, it seems like. I guess, historically, it feels like Brightcove has had a little more variability in their media business versus enterprise. I guess any thoughts on what the – is there going to be a significantly different strategy in media versus enterprise here? Do you need, I don’t know, different technologies, media versus enterprise? Just how do you think about those two separate buckets? And maybe you don’t have to think about them separately, I don’t know, but curious to your thought on that.
Marc DeBevoise: That’d be great – it’s a great question. Thanks. Well, first of all, on the technology, I’ll take the last part first, yes. On the technology side, the great part is that the platform is incredible, and it is incredibly strong. And I did a lot of diligence with a number of folks that I know that have used the product for – over the last decade. And remember, I was a customer about a decade ago, so I know the platform well. And I would say the core platform is incredibly strong, can handle effectively anything that’s out there to date on the Internet. So I’m very – I took this job partially because of that technology strength. I think the solutions we provide are different for different end users in different end markets. And I think we’ve now gone into the enterprise side with some specific solutions that are working well. And we’ve, for a long time, been in the media side of the solution that works very, very well. I think that those are solutions for end users that are continually evolving, and we’re going to continue to evolve our solutions for those end users over the longest term, right? That’s a forever type of iteration that you’re always going to be doing. And I appreciate that about software development and about building and delivering technology like I have in the past. So we do think about those end users a little differently, but we don’t think about the platform that differently, right. It is based on the same core and many of the same principles. And then, lastly, I’d say the go-to-market strategies are different and are – they’re very similar, but they have differences that are unique to each of those markets. And we play those out, I think, in a very specific and strong way. And I think that’s the part where I say it’s a media and enterprise focus. It’s really a streaming company. And what I want to make sure that we do is focus the go-to-market teams, the technology and product solutions and the talent to be a primary winner in that streaming market overall. And that market is not limited to one or other of those customer bases.
Mike Latimore: Yes, yes. And then, it does seem like you periodically, Brightcove would have a really strong media customer, it would ramp and then they would in-source the technology. I guess how do you think about that dynamic and ability to prevent that from happening?
Marc DeBevoise: Yes, I hear you. Look, I think we’ve made incredible strides on the customer retention side over the past year, let’s say. I’ve looked at those numbers, and I think you looked at them as well, I’m sure. And the investments we’ve made in the customer success department and the improvements there have been real and noticeable, and they’ve been noticeable on all sides of our business. So I’m very proud of that for the team. I think they’ve done a great job there. The second point I would make there is simply that there is unique things in the past that have happened where customers have effectively gone out and said, we’re going to go do it ourselves, that I think are changing in the market, right. You’re going to see unique opportunities for those folks who view us as a potential place to come find the technology that can solve their problems rather than a technology that they have to, like you said, graduate out of. I think you actually may graduate into our technology. And I think that’s going to be a tremendous opportunity for the company going forward because I do think as you see certain companies getting to saturation levels in certain markets on their streaming potential, they start to look at it similarly to how they look at ad serving a decade ago, right. I had my own ad server a decade ago, and I decided to find a vendor that was actually getting the intelligence across the market and could be better at it than I was and more efficient in delivering it. I really do see Brightcove with that type of opportunity.
Mike Latimore: Got it. Makes sense. And then, this may come out with your sort of strategy update, but I mean, as you think about the goals here or, I don’t know, management incentives, do you feel like it’s going to be tied to revenue growth, some sort of rule of 40 metric, cash flow? Like any initial thoughts on that? Or does that come out with the strategy?
Marc DeBevoise: I think that will come out of the strategy in the longer term. I am – my deal’s effectively tied to the stock price, and I think that’s going to be a big incentive, certainly, for us to get what they believe a very undervalued company to be properly valued and then exceed the expectations that you all have for us so that we can increase that value over time. I certainly don’t think it’s properly valued today. I think there’s incredible upside here, I think, for both myself and all of the other employees as I believe every employee, and I’ll double check this, has stock and shares in the company. And I think that’s a very big opportunity for them. As it comes to the sort of cash incentives for a certain percentage of our employees, I think we’ll be talking about that further as we lay out the strategy and where we may go.
Mike Latimore: Okay. Thanks a lot. Good luck.
Marc DeBevoise: Thank you.
Operator: There are no further questions. I’d like to hand the call back to management for closing remarks.
Marc DeBevoise: Thank you, operator. And I want to thank our participants as well. Again, I just want to say how excited I am to be leading this company at this amazing time in our industry. I truly believe we and our customers have an incredible opportunity ahead of us. And frankly, we look forward to sharing more with you as we step into the future. So thanks for today, and we’ll talk soon.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.